Operator: Greetings, and welcome to the Willdan Group, Inc. Fourth Quarter and Full Year 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance, please press star zero on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Al Kaschalk. Thank you. You may begin.
Al Kaschalk: Thank you, Matt. Afternoon, everyone, and welcome to Willdan Group, Inc.'s fourth quarter and fiscal 2024 earnings call. Joining our call today are Michael Bieber, President and Chief Executive Officer, and Kim Early, Executive Vice President and Chief Financial Officer. Our conference call remarks will include both GAAP and non-GAAP financial results. Reconciliations between GAAP and non-GAAP measures can be found in today's press release and in the presentation slides, all of which are available on our website. Please note that year-over-year commentary or variances on revenue, adjusted EBITDA, and adjusted EPS discussed during our prepared remarks are on an organic basis. We will make forward-looking statements about our performance. Statements are based on how we see things today. While we may elect to update these forward-looking statements at some point in the future, we do not undertake any obligation to do so. As described in our SEC filings, actual results may differ materially due to risks and uncertainties. With that, I'll hand the call over to Michael Bieber.
Michael Bieber: We had a strong finish to a record year in 2024, significantly exceeding the Street consensus estimates and our own expectations. For 2024, contract revenue was up 11% and adjusted EBITDA was up 24% year over year. GAAP EPS nearly doubled year over year. Adjusted EPS was up 39%. Execution and performance across all lines of business were strong, leading to a record level of free cash flow. For 2024, we generated $4.49 per share of free cash flow, an outstanding result for any public company. With our latest acquisition announced this morning, we've transformed our technical capabilities to serve the commercial data center market. Electric load growth will add unique capabilities in the market, and our consistently solid execution will all come together to fuel a positive long-term outlook coming into 2025. On slide three, Willdan Group, Inc. provides a wide range of energy and infrastructure solutions. We provide solutions for the electric power grid, solutions to electric utilities, and solutions to commercial and local government customers. With the acquisition announced today, we have about 1,800 employees comprised mostly of scientists, engineers, and technical professionals. We now have 54 offices across North America. We help clients avoid emissions of 12.5 million metric tons of greenhouse gases. I've talked about wanting to expand our commercial services as well as add electrical engineering capability. The Enica acquisition in Q4 serving biopharma, and the APG acquisition we announced today both overwhelmingly served the commercial technology sector. Calculated on a pro forma basis, our commercial customers now comprise 15% of our revenue, double the percentage of last year. State and local government customers are now 44% and utilities are now 41% of our revenue. Demand for our services with all three customer groups is healthy. Our work for commercial customers is now largely related to electricity usage at data centers. AI-driven load growth is providing Willdan Group, Inc. with many commercial opportunities to help technology clients navigate electricity constraints. We would like to continue adding acquisitions that strengthen our capabilities. Our work for state and local government clients is growing organically at a high single-digit pace. The outlook is positive. Willdan Group, Inc. has almost no work directly with the federal government or funded by the federal government. The recent federal spending cuts have had almost no impact on our backlog or our outlook because our state and local government work is primarily funded through user fees and bonds. Our work for utilities is primarily under multiyear contracts, is funded by user fees, and remains robust. On to slide four. Our upfront policy and data analytics work informs Willdan Group, Inc.'s strategy. In our upfront work, we are seeing particular demand for integrated resource planning and asset valuation on projects often associated with data center electricity load. Those market changes have led us to acquisitions that provide solutions to these clients. In engineering, we saw strong geographic expansion in Florida and Texas, and continued demand from southwestern city customers. In program management, we performed above our plan on utility programs and building energy programs for cities. Since Q3, we've completed three acquisitions totaling about $50 million in 2024 annual revenue. The diagram shows where they expand our engineering and program management capabilities. I'll talk more about these capabilities in later slides. On slide five, we've had a great string of new wins since the last call. In fact, Willdan Group, Inc. successfully won all of our major recompetes in 2024. Today, we announced winning the expanded recompete with the Los Angeles Department of Water and Power, at LADWP. The new $330 million five-year contract delivers more complex energy efficiency measures to a broader set of commercial and government clients within LADWP territory. The new contract will become among our largest programs at Willdan Group, Inc. on an annual basis. I'll note that due to the recent timing of this award and wrap-up, we don't expect significant revenue from the LADWP program until the back half of this year. Next, we were awarded three new California energy efficiency programs outside of our traditional investor-owned utility base. The first two are with Regional Energy Networks or RENs, which are groups of public entities that band together and form a collective entity providing energy services and SAIC. For the Los Angeles County Regional Energy Network, SoCal REN, we won a $15 million commercial energy program. And for the Central California Rural Regional Energy Network, or CCREN, we were awarded a new $6 million program for energy efficiency regulatory support. We're attracting more opportunities this year from California REN customers. For the South Coast Air Quality Management District, we won a $10 million new multifamily small business energy program. We were also awarded new contracts with Snohomish County and South Lake Tahoe. Coming into 2025, our pipeline of new opportunities around the country is robust. On slide six, from 1970 until 2005, the US saw decades of higher electric load growth followed by 15 years of mostly flat load growth. The US has now returned to higher load growth again, and this is creating exciting new opportunities for Willdan Group, Inc. We believe will help drive our growth for years to come. I've mentioned that experts are uncertain about the future speed and scale of this load growth, but there is now widespread consensus that higher load growth will occur and has already begun. In the most current forecast data, the electricity consumed by data centers powering AI will be the largest load growth, the coral color block on this slide. Willdan Group, Inc. is now in the center of discussion about how to meet this load growth. Data centers will be followed by light and medium-duty electric vehicles, the green blocks on the slide, reshoring of industrial manufacturing facilities in the US, and the electrification of buildings, the blue box. On slide seven, in January, we completed the acquisition of a small engineering business in Central Florida, Alpha Inspections. This transaction expands our civil engineering presence in the southeast, which has been an area of strong organic growth for Willdan Group, Inc. Turning to slide eight, we added new technical expertise with the acquisition of Alternative Power Generation, or APG, that we announced this morning. APG helps fill a strategic gap that Willdan Group, Inc. customers have been asking for: expertise in utility-scale electrical engineering. I personally know the APG management team for many years, and they are well respected in the industry as experts in substation design, interconnects, microgrids, and data center electricity. Most of their work today powers new large-scale data centers, although in years past, their work has powered other industries and utility customers. These are all highly specialized electrical engineering areas that complement Willdan Group, Inc.'s technical strengths in mechanical engineering, energy efficiency, and grid planning. APG's customers today are all commercial, which is consistent with our strategy to expand our commercial client base. APG generated approximately $37 million of revenue in 2024. We're excited to be adding APG and believe the combined skill set is exactly what commercial data center owners want. Willdan Group, Inc. now offers upfront data center planning and consulting, APG's detailed electrical engineering design, and then Willdan Group, Inc.'s legacy data center resiliency and energy efficiency work. This combined data center offering is estimated to be 10% to 15% of our revenue in 2025, probably the fastest-growing area. Slide nine. On the left, it depicts our current actual versus our pro forma customer mix. Diversifying this mix towards commercial technology customers should add long-term stability, and commercial customers generally provide higher profit margins. On the right side of the slide, many years ago, we laid out a goal of 20% operating margin, measured as adjusted EBITDA divided by net revenue. While COVID impacted 2021 and 2022 results, I'm proud of our progress toward our goal. A 20% EBITDA margin in our industry represents best-in-class performance and is associated with a highly differentiated customer solution. In 2025, Willdan Group, Inc. estimates that it will be around that 20% margin goal. We plan to add even more capabilities through future acquisitions in the quarters ahead. Kim, over to you.
Kim Early: Thanks, Mike, and good afternoon, everyone. Our fourth quarter provided a very strong finish to an exciting and productive year, resulting in a record-setting performance for the company. I'll provide a brief review of the fourth quarter beginning on slide ten. Keep in mind that the fourth quarter of 2023 benefited from some exceptional opportunities we experienced last year to over-deliver target quantities on some of our utility programs. As we shared at that time, we estimated these exceptional opportunities contributed approximately $20 million in contract revenue, $15 million in net revenue, and $3 million of adjusted EBITDA, which of course significantly impacts the comparison of the two periods. Despite the appearance that the 2024 quarter was relatively flat with or slightly lower than 2023, when adjusting for those exceptional opportunities, the comparison would reflect a 20% increase in net revenue, a 29% increase in adjusted EBITDA, and a 19% increase in adjusted earnings per share for the fourth quarter of 2024 compared to the prior year. Turning to slide eleven. In terms of the full year, 2024 was a record year across all our key metrics. Contract revenue increased 11% over 2023 to a record $566 million, and net revenue increased 10% to $296 million, with solid growth across our service lines and substantially all of it organic. Double-digit percent increases in building solutions activities, utility programs, and municipal civil engineering services were the primary factors behind the higher revenues. If adjusted for the Q4 exceptional opportunities in 2023, the revenue growth would reflect even stronger organic growth of approximately 14% year over year. Gross profit in 2024 increased 13% to $203 million, and gross margin expanded slightly to 35.8% from 35.2% a year ago, driven by the improved performance in our program management activities and the increased activities and mix of business in our engineering and consulting segment. G&A expenses grew about 9%, closely tracking the 9% increase in headcount but less than the 10% net revenue growth. Higher stock-based compensation was partially offset by lower intangible amortization from previous acquisitions, and wage-related and other G&A expenses were consistent with the revenue growth. All this helped drive a 24% increase in adjusted EBITDA in 2024 over 2023 to $56.8 million. Interest expense decreased by 17% to $7.8 million for 2024, primarily due to the lower interest rate spread from lower leverage levels, and income tax expense was $4.1 million or an effective tax rate of 15.4% compared to 25.1% in 2023, resulting in net income of $22.6 million and earnings per share of $1.58 versus net income of $10.9 million or $0.80 per share in 2023. Adjusted earnings per share was $2.43 per share, up 39% over the $1.75 a year ago. The lower tax rate in 2024 reflects the expanded energy efficiency incentives as well as other discrete reductions related to stock options. From a balance sheet and cash flow perspective on slide twelve, we generated $72 million in cash flow from operations and $64 million or $4.49 per share in free cash flow in 2024. This impressive cash flow strengthened our balance sheet, adding $50 million to our cash balance. And when combined with our untapped $50 million line of credit, provided us $124 million in total liquidity at the end of the year. We expect to invest this liquidity in future cash flows to enhance our growth and to expand our service capabilities and strategic initiatives. Our financial position is strong, and our outlook remains positive despite the uncertainty of the current economic environment and the impact of the delay in the restart of our new LADWP energy efficiency contract. Thus, slide thirteen provides our financial guidance for 2025. We're expecting net revenue in the range of $320 million to $330 million, with adjusted EBITDA in the range of $63 million to $67 million, and adjusted earnings per share in the range of $2.70 to $2.85 per share. These targets assume a 16% tax rate and 15.1 million shares outstanding and do not include any potential future acquisitions. Note that these targets are well above the current consensus street estimates. For more detail on our financial results, you can access this presentation, our press release, and our 10-Ks on the investor page of our website. Operator, we're now prepared to take questions.
Operator: Great. Thank you. At this time, we will be conducting a question and answer session. A confirmation tone will indicate your line is in the question queue. You may press star two to remove yourself from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star key. One moment please while we poll for questions. First question, here is from Craig Irwin from Wealth Capital Partners. Please go ahead.
Craig Irwin: Good evening, and congratulations on another really solid result here tonight.
Michael Bieber: Thanks, Craig. Thank you.
Craig Irwin: So, Mike, I wanted to start off by asking about the LADWP contract, the renewal and expansion of the contract. Can you comment a little bit about the linearity of this contract? Are there any potential startup issues as we look at 2025? You know, is this something that becomes a bigger book of business over the five years, or does this have a potential chunky step up in activity this year?
Michael Bieber: Sure. There's not big startup concerns we have about this program because it is a recompete. We've operated this contract for many years before. It's the third or fourth time we won this recompete. I'll note though that activity on the contract stopped in December, so we're gonna have to re-ramp it back up here in the spring of this year. We don't yet have notice to proceed as we've just been awarded the contract, and it's been finalized and ratified. So we expect to get notice to proceed soon, and we'll be ramping that up in the first half of this year, Craig. That's why I said we don't expect much revenue in the first half of this year from the contract. Beyond that, though, it should be a more linear program. You know, it's roughly $65 million a year. Because we've got some ramp up, we'll have a little bit more to spend maybe next year than this year. And it's a great program. The other thing about it is that it adds more complex measures, which we wanted and the LADWP needed. So it's a different contract from that perspective. Complex measures, pump hot water heaters, other measures that address a wider group of customers than we previously had access to. It's a great program and it's gonna become one of our largest.
Craig Irwin: Excellent. That's great to hear. So I wanted to ask a little bit about the RENs. So we've talked about this on and off over the last couple of years, and it's nice to see the orders coming through. Can you maybe just remind us where the funding for these RENs comes from? Who drives the accountability of the project activity, where are they administered from, and who are the ultimate constituents?
Michael Bieber: Yeah. Sure. The funding comes from the same surcharge on your electricity bill that I spoke about in the past, which funds most of the energy efficiency in the state of California. It's also the source of funding for the IOUs. The RENs are made up, ironically, in some part by the IOUs themselves. They choose to band together in the case of SoCalREN, that's exactly the case. So the RENs band together and do different types of energy efficiency. That is overseen directly by the PUC. It also does not have some of the constraints and the bureaucracy and administrative requirements that the IOUs are asked to jump through. So they're simpler contracts. Each of these two REN contracts is a time and materials contract. And we do a wider range of services as well. We provide everything from regulatory support to technical consulting and the management of the different programs themselves.
Craig Irwin: Excellent. So my third question is, this past couple of months have been a lot of investor questions about the presidential transition, the change in administration, and the potential impact on business activity at Willdan Group, Inc. Can you comment about how you see the change in administration impacting your business activity, your broader sort of funnel at the front end, and whether or not some of these big strategic initiatives that President Trump is pushing have the potential to accelerate activity in different areas of your business?
Michael Bieber: Craig, we hadn't seen much change from what I said the last quarter when we were asked this question coming into the presidential election. You know, what do you think a change in administration will do? The answer is not much. And what we've seen thus far is not much. That's because of the nature of the work that we do, which is primarily driven by state and local governments and, you know, local activities. I mentioned, you know, federal funding cuts that have decimated the engineering community had almost no impact. In fact, less than a 1% backlog impact to us. Really no change in our outlook whatsoever. So we just haven't seen impacts like that. The other thing I'll mention is tariffs. We've worked hard during COVID to put in place language in our contracts that allowed us to pass on supply chain escalations to customers, and that's gonna benefit us this time around with tariffs or the potential of tariffs this time. Because now most of our long-term contracts already have that kind of language in where we can, if they occur, pass that cost through. So we don't see the change in administration having much impact on our business at all right now.
Craig Irwin: That's good to hear. Well, congrats again on some really strong performance here. Thank you.
Michael Bieber: Thank you.
Operator: A reminder, if you'd like to ask a question, it is star one. And our next question here is from Tim Moore from Clearstreet.
Tim Moore: Thanks. And, Mike, your tone and enthusiasm was a refreshing change to more than half the earnings calls I've listened to over the last couple of weeks. You know, just maybe my first question, clearly, low growth and electrification's, you know, obvious enduring theme for the next several years. You know, just within government, within those customers' end market, I mean, are there any two to three programs jumping out gaining a lot more frequency or implementation over the last, you know, a couple quarters or at least, you know, incoming inquiries? I'm just wondering what maybe is more trending.
Michael Bieber: Within government, the California programs have expanded because I mentioned, oh, probably a year and a half ago, the consumption of electricity in California has gone up, and they're looking for additional sources of electricity or likewise, you know, additional energy efficiency that has the same effect on the grid. So that's a broad trend that has translated into, you know, a lot more demand for the programs that we operate within California. That's one I can point to. The same thing though is happening in part in New York where certain pockets, they call them load pockets, are also seeing the same demand for additional electricity. Those programs have grown. The other thing I'll say is, you know, our upfront study work trying to help customers navigate new load growth, data centers, different constraints they have on the grid, has also picked up. There is a lot of planning work, a lot of consult work that is going on right now, and that's why we really wanted to pick up APG. We're now able to follow through on that consulting work. We know where the projects are. And now with APG, we can follow those trends through and actually provide the detailed electrical engineering and, you know, construction management of substations that power these data centers. So those are the areas I point to.
Tim Moore: That's terrific. And my other question is just any update on software cross-selling? And does APG have its own embedded software, or are you gonna be introducing yours to their suite?
Michael Bieber: We're going to be introducing ours. They don't have any software right now. And that introduction was yesterday, so it's brand new to them. We think that's a great opportunity to cross-sell. And you asked about software cross-selling. That's been solid as well. The work that E3 and IA are doing upfront to support these different grid planning efforts is a good mark.
Tim Moore: Thanks. That's it for my questions, and I appreciate it.
Operator: The next question is from Richard Eisenberg, a private investor. Please go ahead.
Richard Eisenberg: Well, that's it for Mike and congratulations on a great quarter and a great year.
Michael Bieber: Thanks, Richard.
Richard Eisenberg: Welcome. Has artificial intelligence been integrated yet in your software, and what are the opportunities for Willdan Group, Inc. to expand into Europe? Thanks again, Mike.
Michael Bieber: We're working hard to roll out the integration of AI into a new version of LoadSeer. And we believe that'll be ready in the first half of this year. The new version of LoadSeer is also simplified in that it requires a smaller engineering staff to manage and run it. We're designing it more for, you know, more simplified operations like municipal utilities or smaller cities. And the new AI-powered version of this will have predesigned load forecasts and load curves, load shapes that utilities, smaller utilities can use, and they don't need to staff thirty electrical engineers to power it. So that's primed to come out this year in the first half. It's a good opportunity, and we're already looking to cross-sell that towards our municipal relationships throughout the country. You mentioned Europe. We currently have no presence in Europe and very little presence outside of the United States. We have got, you know, five or six people in Calgary, a little bit of presence in Puerto Rico, hardly any international exposure whatsoever. In the short term, Richard, Europe and work outside of America is not our focus. Eventually, we may consider moving outside with an acquisition that places us there. But there is so much opportunity in the United States right now. We're focused on the US market, probably all of this year and the next several years.
Richard Eisenberg: Okay. Thanks, Mike. Thanks again, and have a great 2025.
Operator: Once again, if you'd like to ask a question, it is star one. And if there are no further questions, I'd like to turn the floor back to management for closing comments.
Michael Bieber: Great. Thank you. We'll wrap this up in thirty minutes. Thank you for being here. I know that, you know, in years past, business has not been as robust, and we're enjoying some of the best business opportunities the company has ever seen right now. We're on fire, and we're enjoying it over here. Expect more throughout the year.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.